Operator: Good morning, and welcome to the CNH 2025 Third Quarter Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I will now turn the call over to Jason Omerza, Vice President of Investor Relations.
Jason Omerza: Thank you, Julianne, and hello, everyone. We would like to welcome you to CNH's third quarter earnings presentation for the period ending September 30, 2025. This live webcast is copyrighted by CNH and any recording, transmission or other use of any portion of it without the written consent of CNH is strictly prohibited. Hosting today's call are CNH CEO, Gerrit Marx; and CFO, Jim Nickolas. They will reference the material available for download from our website. Please note that any forward-looking statements that we make during today's call are subject to risks and uncertainties mentioned in the safe harbor statement included in the presentation material. Additional information pertaining to factors that could cause actual results to differ materially is contained in the company's most recent annual report on Form 10-K as well as other periodic reports and filings with the U.S. Securities and Exchange Commission. Our presentation includes certain non-GAAP financial measures. Additional information, including reconciliations to the most directly comparable U.S. GAAP financial measures is included in the presentation material. I will now turn the call over to Gerrit.
Gerrit Marx: Thank you, Jason, and welcome to everyone joining the call. Our third quarter ended in an evolving world of global trade, but with progress along our articulated priorities, to lighten channel inventory, reduce our quality and product costs, break new grounds across our lineup of iron and technology and build a solid foundation for our recently announced 2030 mid-cycle margin commitment. Since the very early days of our industry, farmers have seen many cycles and shifts in global trade, some even larger and more disruptive than this one. As we look forward beyond the current cycle, it is certain that most arable lands around the world will be used for technology-led crop production and livestock farming to feed the growing population even if it requires growing different crops. As the only other truly global full-line agriculture machinery provider, CNH is going to play an even larger role in helping feed the world as we will showcase next week during our Tech Day at the Agritechnica Fair in Hannover, Germany. We are thoughtfully transforming our global supply chain footprint and dealer network to mitigate the risks of further volatility that may emerge in the -- in our industry. With this clear direction in mind, we have maintained the overall low levels of production that we initiated in the third quarter of 2024 to help reduce CNH steel inventories and clear aged products while still defending and in some cases, growing market shares. Both ag and construction production was flattish year-over-year, but large ag production was down 10%, while small ag was mostly up. Our ag dealers' new inventory levels saw another sequential decline of over $200 million, putting them on track to achieve our targeted levels over the next 3 to 4 months. Our North American dealers' used inventory also saw another sequential decline in the quarter. While it's all good news for CNH, market fundamentals remain uncertain and challenging for our farmers. And it is difficult to say if we would enter 2026 with more visibility or even more momentum. Conditions in South America and Brazil, in particular, continue to be a headwind for our farmers. While we had expected to see this region as the first to emerge from the downturn, difficult geopolitical and market circumstances have persisted. Similarly, conditions in North America have been difficult for farmers as they see the global trade shifts impact their very own operating bottom line. Even with the recent announcements around the trade deal with China, material subsidies for farmers in their different forms are needed while the leveling of the global trade playing field is progressing. So in the meantime, we use all these shifts, changes and drags on global framework conditions as an opportunity to invest our resources in building a better and higher performing CNH during these slow quarters. We can prepare for upcoming product launches and define new ways of working more efficiently. This business has always been very cyclical and maintaining a through cycle perspective on what matters accompanied with consistently delivering profits and cash flows make all the difference. We're advancing our investments in iron and technology all the way to Agentic AI applications for our digital farm management system, FieldOps. We continue to take obsolete costs out of the operations to improve our underlying margin profile outside of the near-term tariff impacts. And we continue to make progress on our new go-to-market network development strategy with regionally important steps to emerge over the next year. So while we thoughtfully navigate near-term challenges, our focus remains on investing in the business to secure leading positions across all our major markets. In full alignment with our Board of Directors, we are pursuing the path we laid out on May 8 with determination and a healthy dose of flexibility as we navigate near-term challenges. We are CNH and we will deliver. With that, let's turn to the results. As expected and projected, our Q3 results now reflect the delayed impact of tariffs on our costs, which did not yet have a material impact in Q2. As a reminder, we introduced additional pricing adjustments effective with new orders received after May 1, and we also started to see some of that benefit in Q3. It is our intention that we will eventually offset all the tariff cost impact through cost mitigation, structure realignment and pricing actions. In 2025, however, we are absorbing some of the impact alongside our suppliers, network partners, farmers and builders as we navigate these new trade realities. The changed conditions for purchase components and ship machines impact the entire industry and relative differences in exposure and footprint will impact near-term results differently. 2026 will be a year of alignment and adjustments for our industry, and we expect those to play out fully for the 2027 season. Consolidated revenues for the quarter were down 5% at $4.4 billion. Our Global Ag segment sales were down 11%, with North America down 29%, but EMEA up 16%. While the geographic mix shift has a negative effect on our margins, it is encouraging to see some bright spots in EMEA sales, particularly tractors, especially in Eastern Europe and in the Middle East and to some extent also in Germany. Some of our product launches to be revealed next week in Hannover are precisely targeted to fill gaps and gain more ground in those markets for CNH. We will explain these step changes in greater detail next week. Industrial EBIT -- industrial adjusted EBIT was $104 million, down 69% compared to last year, mainly reflecting the impact of lower industry demand, tariffs and geographic mix. Adjusted net income was $109 million with adjusted EPS for the quarter at $0.08. While the markets are not helpful to our farmers, growers and builders these days, we remain more committed than ever to strengthening the company and prioritizing long-term value creation. Our company strategy is centered around 5 key strategic pillars. Expanding product leadership, advancing our iron and tech integration, driving commercial excellence, operational excellence and quality as a mindset. These pillars remain front and center to ensure we stay aligned with our long-term strategic objectives. And our team remains focused and united in our shared purpose to feed and build the world we all live in. Today, I would like to focus on a few of these items that demonstrate our commitment to the future. While we turn the challenges of the present into opportunities for the future. First, in the area of expanding product leadership, I'm revisiting a chart that we showed at our Investor Day in May. It shows a sample of our extensive product offering across many different farming applications. At the 2025 Agritechnica show next week, we will be unveiling several new products highlighted here with key launches across our tractor and hay and forage lineup. Furthermore, we will be launching significant upgrades across our full product portfolio in terms of both iron and technology. Stay tuned as more news will be revealed about these products next week, but we are very excited about the advancements that we are making here. Speaking of Agritechnica, in advance of the show, we received 2 innovation awards -- Silver medals for our corn header automation and ForageCam. The corn header automation system uses advanced AI and automation to enhance corn harvesting, which ultimately results in more high-quality grain in the tank. ForageCam uses a camera to instantly analyze crop flow and kernel fragments delivering real-time kernel processing scores and helping to boost livestock nutrition. These technologies, which deliver significant agronomic advantages demonstrate how CNH continues to deliver the tools and innovations that create the most value and the greatest impact for farmers. We have transformed how we think about quality within CNH. We are taking a 360-degree view of quality, spanning product development, supply chain, manufacturing and our dealer network. Let me give you a few examples. We have embedded quality into everything we do, and our suppliers are a big part of that. Through our strategic sourcing program, we are selecting suppliers who meet our stringent quality standards. These collaborative partnerships yield more reliable, durable parts that directly enhance our machines performance. In an industry downturn, it's tempting to focus only on the purchase price of our components, but we are maintaining a holistic view of quality throughout the sourcing process, while we still take cost out from our purchase goods. Programs that we piloted at our Racine plant, such as no fault forward and dynamic vehicle validation testing are now being deployed at other facilities. I'm happy to report that, as measured by our dealers, we are now achieving the highest delivered quality scores for our large tractors that we have seen in over a decade. Our dealers recognize the difference and our customers are seeing it too. We never want to have machine downtime. But when problems do occur, our motto is fix right first time. Our diagnostic AI tech assistant tool is providing dealer technicians with the real-time insights at their fingertips. It has significantly reduced the time it takes to identify solutions, and we see that in our dealer help desk efficiency. We already see the benefits in our bottom line. Year-to-date, we have reduced our quality costs by over $60 million, and there's a lot more to go as we discussed during the Investor Day. But perhaps more importantly, this commitment to a quality mindset reinforces the trust our customers have in our brand and lays the foundation for achieving a higher net price realization for new and used machines over time. With that, I will now turn the call over to Jim to take us through the details of our financial results.
James A. Nickolas: Thank you, Gerrit. Third quarter industrial net sales were $3.7 billion, down 7% year-over-year, mainly driven by decreased agricultural shipment volumes on lower industry demand, compounded by reduced ag dealer inventory requirements. Adjusted net income decreased by nearly 2/3 with adjusted diluted earnings per share down from $0.24 to $0.08. The decrease was mainly due to lower sales levels, tariff impacts, unfavorable geographic mix and increased risk costs in financial services. Q3 free cash flow from industrial activities was an outflow of $188 million, roughly in line with Q3 last year, as the lower year-over-year EBIT was offset by better net working capital and cash taxes. Agriculture Q3 net sales were just under $3 billion, down 10% year-over-year, driven by the 29% decrease in our higher-margin North American market, where we are experiencing both a weak retail demand coupled with dealer inventory destocking. The year-over-year net sales increase in the EMEA region was mostly driven by higher demand in Eastern Europe and in Middle East, Africa. Pricing was favorable overall with North America positive 3%, and which starts to include some tariff-related price adjustments. This was partially offset by some negative pricing in South America, where we have seen aggressive competitive incentives. Third quarter adjusted gross margin was 20.6%, down from 22.7% in Q3 2024, affected by the lower volumes, tariff costs and unfavorable geographic mix, partially offset by purchasing efficiencies and lower warranty expenses. Product costs were favorable, $33 million year-over-year despite including $45 million of unfavorable tariff costs after FIFO inventory offsets. Manufacturing and warranty quality costs were lower by $44 million in the quarter. The supply chain efficiency is making up the remainder of the favorable year-over-year results. So despite the tariff headwind, we are making good progress on our underlying margin improvement initiatives, and this remains central to our path to 2030 strategy. We'll provide a more thorough progress report on our long-term goals during our Q4 call. SG&A expenses were $36 million higher than in the third quarter last year mainly due to higher variable compensation accruals in 2025 and labor inflation. As a reminder, we took out over 10% of our white collar head count in late 2023 and early 2024. And since then, the levels have been essentially flat while we work on improving our organizational effectiveness. Adjusted EBIT margin for agriculture was 4.6%, a sequential decline from Q2 2025 levels as a result of the increase in tariffs and our normal quarterly business seasonality. CNH enjoys the distinction of being the most geographically balanced of all the ag OEMs in terms of our sales mix, and we've been profitable in every reach of the world so far this year despite the consistently depressed markets. We expect that trend to continue in the fourth quarter. The EMEA region is weaker than North and South America in terms of margins, but we know what needs to be done to raise its profitability profile. Many of the improvements discussed at our Investor Day such as improving dealer network presence and improving operating performance, along with the private launches mentioned by Gerrit earlier, are designed to improve the fortunes of the EMEA region with our focus on this critical area that will yield benefits for the entire agricultural segment. Construction third quarter net sales were $739 million, up 8% year-over-year, driven by higher sales in North America and EMEA. The increase is mainly due to the low sales level last year as we had cut production aggressively in 2024. Gross margin for the quarter was 14.5%, down from 16.6% in Q3 2024, mainly as a result of the tariffs. Purchasing and manufacturing efficiencies of $12 million favorable were more than offset by $26 million of tariff costs. It's important to point out that we seem to have been a bit more aggressive on price increases as a result of the tariffs that we have seen from our competitors. Like in agriculture, construction SG&A was unfavorable due to variable compensation accruals and labor inflation. We closed the third quarter with an adjusted EBIT margin of 1.9%. I would also like to note that earlier this week, we finalized our previously announced plan to stop production at our construction plant in Burlington, Iowa by the second quarter of 2026 due to declining demand and underutilization. Production will be moved to other existing CNH facilities, including our plant in Wichita, Kansas. This is part of construction's manufacturing optimization effort that was discussed at the Investor Day. Moving to Financial Services. Third quarter net income was $47 million, the $31 million year-over-year decrease was driven by higher risk costs in Brazil, partially offset by better margins in all regions. Retail originations in the third quarter were $2.7 billion, down 6% year-over-year, reflecting the lower equipment sales environment. The managed portfolio ended the quarter at $28.5 billion. The wholesale portfolio was down nearly $1.5 billion since 12 months ago on a constant currency basis, mainly driven by the lower dealer inventory levels. While credit collection rates have been relatively steady in most regions, despite the market downturn, we, along with others in the industry, are experiencing persistent delinquencies in Brazil. Accordingly, we increased our credit reserves again in the quarter. We believe that our reserves are adequate, and we work with farmers in the region so they can continue to operate their farms and pay for their equipment. Our experience from past cycles is that most farmers in delinquent status will eventually catch up on their commitments, but this increase in risk reserves is a needed measure while observing how the market environment unfolds. Our capital allocation priorities remain unchanged. We will continue to reinvest in our business while maintaining a healthy balance sheet. During the third quarter, we repurchased $50 million worth of CNH stock at an average price of $11.25 per share. Before I turn the call back to Gerrit, I want to give you an update on our net tariff assumptions for this year as well as a view of the gross run rate impact of the tariffs. The numbers on this page reflect the expanded Section 232 steel and aluminum tariffs, which were not factored into our previous guidance and reflect that China tariffs will be lowered by 10 percentage points on Monday. For 2025, we estimate the net impact of agriculture at around $100 million at the midpoint and construction at $40 million at the midpoint. In the fourth quarter, that will be around $60 million for ag and $20 million for construction. In the short term, we are working diligently to offset as much of the tariff impact as we can. This includes collaborating with our suppliers to identify alternative sourcing options and consuming pre-tariff inventories. The price adjustments implemented to date do not fully offset the gross tariff impact, as we have chosen to share the burden alongside our suppliers, network partners, farmers and builders, while the trade environment is in flux. The 2025 impact is only a partial year impact as the ramp-up in tariff levels and our FIFO accounting pushed most of the impact into the second half. If we annualize the gross impacts still at 2025 volumes, we estimate approximately $250 million of impact in agriculture and $125 million impact in construction. That is approximately 200 basis points of agriculture margin headwind and 425 basis points of construction margin headwind. I'm only showing the gross cost run rate impact here because as Gerrit said, we do intend to be able to fully offset the tariff impact over the long run. We will take advantage of our ongoing strategic sourcing program to identify the right suppliers with a global footprint to help us identify the most favorable countries of origin. Likewise, we will leverage our global manufacturing footprint to identify the ideal production locations. And ultimately, we will pass through the remaining incremental costs through our pricing and has been done across the industry in the past. Our 2030 margin targets will not be jeopardized by the tariffs. With that update, I will turn it back to Gerrit.
Gerrit Marx: Thank you, Jim. And now let's review our latest outlook for agriculture in 2025. Global industry retail demand is expected to be down around 10% from 2024. We have narrowed our net sales guidance as we approach the end of the year. Full year pricing will be positive about 1%, and there is no expected currency translation impact. We've also updated our margin guidance. As you recall, last quarter, we said that margins would likely fall somewhere below the midpoint and the guidance. However, since our last call, additional Section 232 tariffs on steel and aluminum were introduced. As such, our revised guidance now reflects those tariffs as well as the geographic mix shift between North America and EMEA and product mix between large ag and small ag. The Section 232 tariffs will impact all players in the industry, whether they are components imported or locally sourced as domestic steel and aluminum prices will rise as well. We expect to recover those impacts through pricing of our products. In Construction, overall industry retail volumes are expected to be down about 5% from 2024. As with ag, we have also narrowed our net sales outlook for the year and lowered our margin expectations. We are still working on our 2026 industry estimates, and we'll need to see how some of the larger market players react on pricing before we are able to finalize an opinion here. With the narrowed sales estimates in ag and construction, we are guiding total industry net sales to down 10% to 12% year-over-year with margins reflective of the net tariff exposure between 3.4% to 3.9%. Free cash flow is now expected in the $200 million to $500 million range. EPS is now forecasted to be between $0.44 and $0.50, again, reflecting the latest net tariff impact. I will end our prepared remarks by looking at our priorities for the remainder of the year as we close out 2025 and position ourselves for success in a likely transition year in 2026. We are carefully observing the different leading demand indicators. At the same time, while we are dealing with a rapidly changing trade environment, we are working very closely with our network partners and suppliers to ensure that we are responsive to ongoing shifts in the market. We are taking orders for model year 2026 products now at new prices, reflecting another round of cost recovery. Each region has their own cadence for order collection, typically North America ahead of the other regions. Production order slots are full for the remainder of 2025, and we are about half full for the first quarter of 2026. Some products in some regions are a bit further out than that. North America's Q1 slots are already full. For example, we are monitoring order collection closely to understand overall industry retail demand in 2026 and to make the appropriate shift in our production cadence when needed. Besides our order collection, other factors that we are evaluating include commodity prices, stocks-to-use ratios, progress on trade deals, especially a finalization of the recently announced agreement between the United States and China, clarity on renewable fuel standards in the U.S., used inventory levels and their values and competitive pricing dynamics. As of right now, we would expect global industry retail demand to be flat to possibly slightly down in 2026 when compared to 2025, that likely includes EMEA being slightly up, North America, slightly down in large ag and South America and Asia Pacific somewhere in between. As year-end approaches, we'll assess market developments to refine our industry forecast with greater precision. As I discussed earlier, we will continue to produce at our current low levels through the end of 2025 and likely into the beginning of 2026, given continued soft demand. Our North American dealers are on pace to achieve our inventory targets for new equipment within the next few months, whereas improving sentiment in Europe will allow dealers to increase their stock somewhat. Like our continued dedication to investing in the future through iron and tech R&D, we are not taking our eyes off our margin improvement initiatives regardless of the market environment. We are maintaining our relentless focus on our homework and executing the cost management strategy that we presented to you in May. We are pursuing productivity improvement and the strategic sourcing program to drive further cost reductions with a particular focus on delivering the highest quality products to our customers. I want to reiterate what Jim said, our 2030 targets are not jeopardized by the current trade environment or status of the ag cycle. Things are very positive for CNH. And during times like these, continuity through dedication and consistent execution are more than ever important. At our Tech Days next week, we will exhibit our latest products, technology applications and solutions. We are excited to show you how our technology evolves to serve farmers on their field and to preserve their soil health. Our solutions help them rise to everyday challenges, particularly the unexpected ones. We hope to see you in person in Hannover or connected to the webcast. That concludes our prepared remarks, and we are ready for the Q&A.
Operator: [Operator Instructions] We will take our first question from Kristen Owen from Oppenheimer.
Kristen Owen: A lot of discussion this morning on the ag margin bridge, and you hit on some of the points, but I'll ask you to articulate on 3 particular items that stood out to us. First, can I ask you on the decremental margin on the volume mix? How much of that was the decline in North America as the total percent? And how should we think about that decremental going forward? The second item here is on the SG&A and the $37 million drag? And then finally, I'll just ask you to unpack some of the product cost puts and takes, tariffs versus some of that underlying quality work that you addressed. I realize there's a lot there, but I appreciate you addressing that bridge.
James A. Nickolas: Okay. Kristen, happy to answer those questions. The decremental in ag was really driven by the declining sales in North America, 29% decline in North America, EMEA, up 16%. So you've got a fairly sizable geographic mix element in there. SG&A did grow. To answer both parts of your question with here, the ag EBIT margin decline -- 12% of that decline was from higher SG&A due to the variable compensation. So last year, very low bonus accruals. This year normalized, rate of bonus accruals is being accrued. So you've got the SG&A growth. Tariffs were a meaningful portion of that as well, than geographic mix I mentioned. And then to a lesser extent, our ag JVs are delivering lower profits this quarter than it did a year ago. So those are the 4 primary buckets. If you take those out, you are back to the normalized 25%, 30% decremental. So that answers the ag question. Gerrit?
Gerrit Marx: Yes, I just would like to -- on the first one on the mix point, Kristen, I would like to add that in EMEA, particularly the tractor segment was up while harvesting segment was still behind in the overall mix. And I think as you might recall, we -- while strong on tractors, we are particularly pronounced on harvesting equipment and I mean large combines. So that was in another -- it's not a regional mix. It's like an in-region product mix to some extent. And as Jim and I alluded to is Europe is -- or EMEA is for us from a marginality, a trailing region is actually at the bottom. And we have launched quite some substantial turnaround and restructuring actions across the region starting as well from the product side that you will see next week in order to regain momentum and share in a region that shall be no weaker than any of our margins in North or South America. So this is very much in focus, and we are going to talk you through those things next week when we stand in front of our local new product lineup with tractors that we -- and the serve segments that we never had, okay? So high horsepower midrange tractors, we never had and now we have, and we'll show that next week as another measure to turn around Europe.
James A. Nickolas: Yes. And then continuing to answer your question, so the product cost unpacking, that really is $33 million of favorable product costs, excluding $44 million of tariff costs. So without the tariffs, that number would have been $77 million of favorability. That breaks down as $44 million in quality improvements, $17 million in purchasing and manufacturing improvements and $60 million of other improvements. So that sort of, I think, shows the good work we've been doing on our path to 2030 from an operational perspective. The tariff supports our headwind that weren't there previously. And tariffs are growing a bit in Q4. Q4, we expect tariff costs to be $60 million in ag and $20 million in CE, but we'll give you a more detailed breakdown of the full year cost improvements toward our Investor Day targets when we report out in Q4. So I think that addressed all 3 of your questions.
Operator: Our next question comes from Angel Castillo from Morgan Stanley.
Angel Castillo Malpica: Just 2 factors impacting fiscal year '26, I was hoping to get a little bit more color on. First, in terms of the annualized tariff gross headwind that you laid out, I just want to triple check, I guess, it seems to me a rough math that, that implies maybe a 2% to 3% kind of incremental headwind in terms of your North America sales next year. So just one, is that correct? And kind of second, based on pricing you're putting out through your orders right now for next year and the preliminary kind of cost inflation you see. I guess how much of that 2% to 3%, do you think you can offset your pricing versus other kind of cost initiatives that you laid out? And how much do you -- basically you already have covered versus you still need to go out and get a kind of enact initiatives? And then the second piece of fiscal year '26, just under production, what gives you confidence in being able to achieve desired dealer levels in 3 to 4 months? And basically, how much more inventory do you need to kind of work down and how much of a tailwind that could be next year? That would be helpful.
James A. Nickolas: Yes. Let me tackle the first one, Angel. So the -- I think you're about right on the headwind effect of the tariffs -- the basis point headwind. And the pricing that we put out, if you couple the tariff costs with normal inflation costs, the list price growth that we put out is not adequate to cover 100% of the tariff costs. However, we're working to -- over the course of 2026, we'll be working to cover that through various means, further cost cutting. And there's also -- we can adjust our discounting to some degree as well to maybe help offset. So from a list price perspective, not there, but through other actions we'll be endeavoring to get through throughout the course of 2026. And as it relates to the production question.
Gerrit Marx: Yes. And relating -- related to the production question. When we look at 2026, and it's consistent with what we, I think, we said also during the last 1 or 2 calls is we expect that the production pace equals retail pace. And in next year, we expect in terms of production hours versus a 2026 production hours over '25 production hours to be up around mid-single-digit percentages basically across all regions, across all products because we do see, as we mentioned, that we will achieve the target of about $1 billion inventory reduction in 2025 that gets us to a much better place by this year-end. So we plan to increase production hours next year. And that might entail even a further inventory reduction at the same time, if needed. And that is not a general statement across the world because, as I mentioned earlier. I mean EMEA show signs of momentum in some markets, which means depending on where we are in the season that we are going to stock up some machines in those markets. Again, depending on the season, why we have here and there still some pockets of machines where we might continue to see a further destocking next year. But in large, we have achieved the target of $1 billion destocking this year over the next couple of months. And with that, we see space now to restart production in the mid-single digit up.
Operator: Our next question comes from Tami Zakaria from JPMorgan.
Tami Zakaria: I wanted to touch on tariffs a little more. Is there a way to think about how much of the total tariff costs you quantified, I think, $205 million to $225 million. How much of that is tied to AEPA versus Section 232 versus the baseline? Should the industry get some relief from any Supreme Court ruling in the coming weeks, months? Just wanted to get some sense what could be the opportunity there?
James A. Nickolas: Yes. About 20% of the tariff costs are from Section 232. So any release is granted, that would be wonderful. We're not counting on that or taking that into our plans at this point, but we'll wait and see where that goes.
Operator: Our next question comes from Kyle Menges from Citi.
Kyle Menges: I wanted to follow up on some of the pricing comments on the comments that maybe you've been a little bit more aggressive on price increases versus competitors this year. And just how that's influencing how your pricing model your '26 machines as your opening order books for next year. Curious what the customer feedback has been on pricing as you start to price model your '26 machines and feedback on maybe where you're priced versus competitors in some of your different markets as you're opening order books for next year?
James A. Nickolas: Yes, just to clarify, Kyle, the -- where we are more quick to raise prices was on the construction side, where we didn't see really much else happening with our competitors. So we were probably out in front on that one. As it relates to ag, I would say we're 3% to 4% list price you put out there for the early order program that's -- that's translating well. We think that's where the market is, and we're -- it seems to be working as planned. And you can see it from our production slots being filled. That's encouraging. It's tracking as we would have expected. So that's lined up, I'd say. So construction pricing, we're a little bit more aggressive on increases. Ag, I think we're in line with the market, and that seems to have been well received by the market.
Operator: Our next question comes from Jamie Cook from Truist Securities.
Jamie Cook: I mean, if you look at your guide, your fourth quarter sales implies we're finally up year-over-year versus decline. So I'm just trying to think about that and the backdrop for 2026. It sounds like you broadly think industry demand is sort of flattish in ag, different pockets, obviously, and construction is probably up. Just trying to think of the company-specific items that you can control. And to what degree do you think your earnings could grow next year in a flat market as like next year, you would produce in line with retail demand or potentially better, quality should be an incremental savings potentially supply chain, I guess, tariffs a headwind. But just the big puts and takes there, the things that you can control to hopefully get us comfortable or maybe not that that 2025 would represent the trough of earnings?
James A. Nickolas: Yes. Great question, Jamie. So the production increases that Gerrit outlined in 2026 are not because of the industry is rebounding, it's because we're producing closer to the retail. So under producing less than we did in 2025. So we will get some absorption benefit from that, from the higher production rates. We will, of course, continue and amplify our ID2025 targets that we put out around quality, around supply chain efficiencies. Those areas are sort of working. We're seeing it, strategic sourcing. These are all things that are coming through, as we talked about in Q3. We expect those to keep growing and building. So those are the sources of tailwinds that we're looking towards. And the headwind that you'd point out is the one that we have less control over in the short term, and that's the tariffs. So as I mentioned on my question we answered Angel, we'll be looking for ways to help offset those tariff costs, but those right now are probably the most significant headwind we've got to grapple with.
Operator: Our next question comes from Steven Fisher from UBS.
Steven Fisher: Just maybe to follow up on that. I'm just curious what the drivers are of the smaller declines in revenue guidance for 2025 and maybe some of the regional color on what you have embedded for Q4 because it seems like ag overall looks like it's implying around 4% growth and construction in the -- and perhaps in the mid-teens. So just a little color on those changes and what's implied?
James A. Nickolas: Yes. So in ag, EMEA will continue to be more strongly performing versus other regions. And construction industries also -- equipment is also to be the one that's driving it forward. The end markets there have been improving. And so those are the 2 areas where we see the sales growth coming from. Part of it also is the -- we're producing -- we're underproducing retail less in Q4 on the ag side, that would also help above and beyond sort of the EMEA improvement. So hopefully, that answers your question, Steven.
Operator: Our next question comes from Tim Thein from Raymond James.
Timothy Thein: Maybe just coming back to the concept of production versus retail in '26. And we covered a lot of ground there earlier, but I just want to make sure I heard correctly with respect to large ag in North America, as I think back in recent months and the commentary for '25 has suggested that in many cases where inventory was a bit heavier, it was more on the small ag side. So I would assume that that gives you more of a production tailwind as we're thinking about into '26, i.e., if there's more upside pressure to production, it would be on the large side versus small, just given the fact that more of the inventory issue has been on the small ag in North America. So again, kind of bouncing around ideas here, but is that a fair kind of characterization as we think about the outlook -- potential outlook for production in North America split between large versus small?
Gerrit Marx: Yes. I think you're directionally correct, will be a few percentage points -- in the current planning will be a few percentage points higher in large ag than in small ag, when we look at production hours, '26 over '25.
Operator: Our next question comes from Daniela Costa from Goldman Sachs.
Daniela Costa: I have a follow-up on the -- what's implied for Q4 in the guidance because most years, we have a negative seasonality into Q4. I understand you have a little bit of delivery growth here. But even when we have delivery growth, we tend to have negative and you mentioned you don't offset the tariffs entirely. They're higher in Q4, and there's sort of all the other headwinds. So can you walk us a little bit through the tailwinds that drive you to a better than usual seasonality in Q4?
James A. Nickolas: Yes. Yes. Good question. From a margin perspective, the improvement versus history is we've got, again, a line of sight improvement in quality costs and our manufacturing cost. So we're looking for good product cost improvement in Q4. And of course, those are growing. So that's something we're -- we're expecting when you compare it versus 2024 levels. So everything we talked about before, the ID2025 targets you put out, those initiatives are underway, they're delivering. We expect that to continue in Q4.
Operator: Our next question comes from Mig Dobre from Baird.
Mircea Dobre: Just a clarification, if I may. I'm a little bit confused about moving pieces to the guidance here. So I'm looking at Slide 17, right? So if I look there on an 11% revenue decline you used to expect 6.5% margin. Now on an 11% revenue decline, we're looking at something more like 3.7% margin. So just the rough math would be we're cutting EBIT here by $430 million, give or take. And this is all second half of 2025. What are the moving pieces here? Because as I understand the tariff assumptions, that alone does not account for this move. So maybe specifically, within this, how -- what dollar figure is associated with tariffs? And what are some of the other elements here?
James A. Nickolas: Yes. It's a good question. So Page 17 is corporate, right, the entire enterprise. What's not broken out there is the mix effect. So we've got construction -- the CE business sales growing. Those are incredibly low margins. So I'm happy with where those are at, but that's not delivering the margin with those earnings or that revenue. And the ag business is not growing at the same pace. So you're seeing a sort of within a segment -- between segment mix happening there. So that also explains why the industrial activities decrementals were so poor in this quarter. CE sales were up. Ag sales were down. And that has that same dynamic. So that's what you're seeing. Part of what you're seeing on Page 17 is what we experienced in Q3, and that will continue in Q4.
Operator: Our next question comes from Mike Shlisky from D.A. Davidson.
Michael Shlisky: It sounds like, as you've been saying you're a few months away from getting to the right level of new inventories in the channel. Are you also a few months away on the used inventory side. Just update us on what's happening there? And is that the point where both new and used are at decent levels at optimal levels, we'll start to see your wholesale sales to be above your retail sales and some kind of restocking again happening at the dealership level?
James A. Nickolas: Yes, great question, Mike. So I think we've seen good success on dealer -- on the used inventory side. I think there's been 3 quarters in a row for CNH Ag dealers declines in the used inventory. So we're pleased with that trend. I wouldn't say it's done at the end of this year, though. It's still higher than historical norms would imply. And so I think there's more work to be done there. That's always been less of a concern for us though. I think it's more of a -- I think your broader industry concern, a bigger concern for CNH and CNH dealers, but it's higher than we'd like. We're making progress over the last few quarters. We think it will continue, but we won't be done. That effort won't be done into Q4.
Operator: Our next question comes from Joel Jackson from BMO Capital Markets.
Joel Jackson: Definitely a couple of months ago, there was some optimism, I know expressed by the management team around South America maybe turning, wasn't clear, but there was optimism a couple of months out later now as you mentioned earlier, the optimism is sort of died down a bit. Can you talk about what you're thinking then and what you're thinking now, what you've seen in the last couple of months?
Gerrit Marx: Well, look, the South American market experienced a higher attention from China when it comes to not only soy, sorghum and other commodities. And we had the sentiment there that overall, when trade clarity comes up that this region would react first to this increased level of certainty when it comes to global trade. As we are still in a moment of uncertainty, I mean, there is a deal announced between the U.S. and China, about 25 million metric tons of soy over the next couple of years, 3 years. We still await the exact numbers, and we will still need to see as an industry, not as only CNH, what are the actual purchase volumes of China when it comes to South American soybeans and other commodities. That will then refuel farmer sentiment in the region when it comes to 2026 planting season, and related equipment sale or purchase consideration. So it's really around continued ambiguity of global trade and a still existing lack of certainty because I mean you have heard many trade deals being announced, but then the details are not yet disclosed and are not there yet until our farmers are and so are we, we are curious to see those details coming through, which will then lead to more certainty, and that will also then lead to a higher level of predictability when it comes to purchase equipment sales, I mean, equipment purchases. So that is the difference. We haven't really improved on certainty as it comes to global trade conditions. That's the main driver. Jim alluded also to an increase in -- Latin American increase in delinquencies. Our farmers were expecting a payout from the -- from the local Brazilian farm bill as it comes to purchase of seeds and fertilizer. That was delayed. And so farmers preferenced or basically prioritized purchase of seed fertilizer and imports that purchased rather those instead of, let's say, giving priority to our equipment or the industry's equipment rates. And so that is another drag in the market that is another indicator for uncertainty that has very much unfolded in the third quarter. And we are taking a very cautious view here and so do the farmer. So more uncertainty and wait and see mentality in Brazil, that's really what has changed. And we need to see what China really buys in the end. One thing is a deal, the other thing is the actual purchase and the consistency of such purchases month after month.
Operator: Our next question comes from Ted Jackson from Northland.
Edward Jackson: Two questions for you. One, with regards to the tariff guidance and what is it -- is it $80 million, I think you said you were going to have in the fourth quarter. What was -- when you -- at the second quarter, what was the view for the tariff impact for the remainder of the year? Honestly, I don't recall what it was when I looked at the past presentation, I didn't see anything in [indiscernible] -- is this -- are the costs that you're putting forth there, is that incremental relative to what your view was, exiting the second quarter going into third?
James A. Nickolas: Yes. Good question. The Section 232 costs were not part of our guidance at Q2. I think we indicated $110 million to $120 million of full year net tariff costs, and then we bumped that up to the current view. So that's -- the biggest reduction in guidance is not from tariffs. Tariffs were a small piece of that. The bigger reduction was more of the items we've gone through were the SG&A increases and the mix effects. Geographic mix came in tougher than we thought.
Edward Jackson: My next and last question obviously is, even with all the stuff and you look at the change in guidance, you did take your sales number up. At the midpoint, it would be up $650 million to $700 million. In your third quarter, at least relative to consensus was a bit higher this year ongoing. So even if we just say, okay, well, third quarter was better and just use consensus as a proxy, you can back that out. There's another $200 million of sales in the fourth quarter relative to kind of what would have been expected to do something like this with prior guidance. It sounds like it's construction in EMEA that's driving that. And then how much of that increase is, am I right with that, and then is there -- how much of that pickup in revenue is from you being able to push along pricing as you're compensating for things like tariffs and such?
James A. Nickolas: Yes. Yes. So pricing remains a positive driver of revenue in Q4. So that's definitely a favorable item that we've got baked in. The second half change in the guidance that you're seeing though was, again, mostly driven by higher volume sales with -- in sales areas with sort of lagging margins. So the margin that you would associate with any given dollar of sale, just wasn't there given where the sales occurred. So higher sales without the margin delivery coming through it. That's what's really affecting the -- what appear to be a bad incremental or decremental. It's really just the sales mix.
Operator: Our final question today will come from David Raso from Evercore ISI.
David Raso: When you speak to global industry retail next year being flat to slightly down, the order books as they sit today, where are the order books right now versus a year ago? An ideal if you can help us between the North American large ag commentary for next year in EMEA. If you can give us some sense of the order patterns in those 2 regions would be great.
Gerrit Marx: Yes. I think the order coverage we see right now is basically, as I said, Q4 is basically covered everywhere. Q1 largely, let's say, very well on track. We have a bit more order coverage on the North American side than in other regions, but this is pretty comparable, I would say, to prior years. I think there's not a particular pattern here. We are working through, obviously, the other programs, and we're working through, which will be quite exciting for us to showcase the machines next week at the Agritechnica. We have a full lineup of renewed tractors on offer and similar upgrades also on the combines side. So I think the Agritechnica as well will be another stimulating moment when our farmers will see what great machines we are putting out there. And so we're pretty excited to walk you around and show you what we have on offer, but the order books are very much in line with expectations.
James A. Nickolas: David, one more data point that we're excited about, and it's very comforting and validating our flagship combines in North America. The production slots are sold out for the entire year. I think that's evidence of how well that machine is performing, how well it's been received and the value proposition. So that's another good sign about building the right products and markets receiving them quite well.
Operator: That concludes today's conference call. You may now disconnect.